Operator: Good day everyone and welcome to the Corn Products 2008 Second Quarter Earnings Call. This call is being recorded. At this time, I will turn the call over to Vice President of Investor Relations, Mr. David Prichard. Please go ahead, sir.
David Prichard - Vice President of Investor Relations: Thank you, operator and good morning to everyone. Welcome to Corn Products International's conference call to discuss our 2008 second quarter and first half financial results released earlier today. I am Dave Prichard, Vice President of Investor Relations for Corn Products International. Joining me today to lead the call are Sam Scott, our Chairman, President and Chief Executive Officer and Cheryl Beebe, our Vice President and Chief Financial Officer. This is an open conference call, it's simultaneously broadcast on our website at www.cornproducts.com. Now the charts for our presentation this morning can be viewed and downloaded from our website and they are always available about 60 minutes ahead of our conference calls. Those of you using the website broadcast mode for this conference call are in listen-only mode. Sam Scott and Cheryl Beebe will deliver this morning's presentations and they will indicate as they move from chart to chart, so those of you using our slides from the website can easily follow along through the presentations. Now I've just shifted myself to chart 2, which is our agenda for this morning's call. Cheryl Beebe will present the financials for the second quarter and the first half with appropriate analysis and flavor and then review our revised 2008 outlook. Following that, Sam Scott will comment on our company's pending merger with Bunge Limited before we move to your questions. I have now shifted to chart 3, which is our forward-looking statement. Our comments within this presentation may contain forward-looking statements. Actual results could differ materially from those predicted in those forward-looking statements and Corn Products International is under no obligation to update them in the future as or if circumstances change. Additional information concerning factors that could cause actual results to differ materially from those discussed during today's conference call or in this morning's earnings press release can be found in the company's most recently filed annual report on Form 10-K, and reports on Forms 10-Q and 8-K. Finally, statistical and financial information as well as reconciliations of non-GAAP numbers from this presentation are also available on our website at www.cornproducts.com and, as you will see, are included as an appendix to this morning's slide presentation. With that, I'm now pleased to turn the conference call over to our Vice President and Chief Financial Officer, Cheryl Beebe. Cheryl?
Cheryl K. Beebe - Vice President and Chief Financial Officer: Thanks Dave. Good morning everyone. We're pleased to report Corn Products International best quarterly results in our 10 years as a public company. The second quarter built upon the solid performance we saw in the first quarter. Our North American and International business models continue to work very well in this challenging and volatile commodity environment. Price increases in concert with effective risk management policies allowed us to once again more than offset corn cost increases. The major contributors were strong pricing actions and improved product mix in our North and South American businesses along with favorable currency translations, primarily in South America. Turning to chart 5, the summary income statement for the quarter ended June 30, 2008, we see net sales increased by 20% or $172 million over last year's record... excuse me, over last year to record of 1,300,000,000 marking the 10 consecutive quarter of net sales growth. We see net sales for 2008 reaching $4 billion. Gross profit dollars also grew 20% or $31 million to $187 million, driven by the strong pricing actions, better product mix and favorable currency translations in North and South America. Gross corn costs increased significantly across the business, but excellent co-product recovery especially in North America served to moderate our net corn costs. Global energy costs also increased, primarily in South America. The gross profit margin of 18.1% was unchanged from 2007. Operating expenses increased 13% or about $8 million reflecting higher compensation-related costs and the impact of stronger foreign currencies. Including, in this quarter's operating expenses is approximately $4 million pre-tax of cost related to the pending merger with Bunge. Operating expenses as a percent of net sales were 7.1%, lower than last year's 7.6%. Operating income increased 28% or about $25 million to a record quarterly level of $116 million versus $91 million last year. The operating margin of 11.3% in the quarter improved from 10.6% last year. Net financing costs for the quarter of $7 million were down $6 million or 47% from last year, primarily due to lower net interest expense and foreign currency transaction gains. A remainder that last year's second quarter cash, debt and interest expense reflected the $300 million raised in the quarter to pay down the anticipated 2007 bond repayment in July 2007. The tax rate for the quarter was 34.9% compared with 32.8% last year. Net income and diluted earnings per share increased 35% and 36% respectively in the second quarter to record levels of $68 million and $0.90 versus last year. As mentioned earlier, included in this year's results was a $0.04 negative impact from merger-related expenses. Weighted average diluted common shares outstanding of $76.2 million were down slightly from last year's $76.6 million. Moving now to chart 6. Net sales by geographic segment, all three regions contributed solid double-digit growth led by South America with a 36% increase or $80 million. Asia, Africa up 16% or $17 million and North America at 14% or 75 million. Looking at Chart 7, the net sales variance analysis, we see that excellent pricing and favorable price mix in all three regions along with positive currency translation in South America generated the company's net sales growth. Price product mix accounted for about 98% of the net sales increase in the quarter or $168 million. The net sales increase from the translation of our foreign operations contributed about $38 million or 22% of the net sales increase while a volume decline of 4% had a negative impact of $34 million on sales. Regionally, North America's 14% sales growth consisted of a 16% increase in price product mix and a nearly 2% favorable swing in the exchange rate. Offset in part by a 4% volume decline across the region from economic softness and weather conditions, South America's growth of 36% included a 23% improvement in price product mix along with 17% from stronger currencies. However, volumes also declined about 4% primarily from reduced take-away in the Brazilian brewery segment and the impact of the farmers' strike in Argentina. Asia/Africa's net sales growth of 16% came from the 29% increase from stronger pricing actions. Volumes and unfavorable currency translations were 6% and 7% offsets respectively. Turning to chart 8, operating income by geographic segment, North America was up 25% or $18 million to $86 million for an operating margin of 14% versus 12.8% last year. The US, Canada and Mexico all contributed to the increase. South America's operating income rose 41% or $10 million for an operating margin of 12.3% versus 11.9% last year. Brazil led the growth while the Southern Cone and Andean regions also posted higher results. Finally, in a reversal from the first quarter Asia/Africa's operating income of 13 million improved 9% or $1 million. Pakistan, Thailand and China all reported higher operating income. This was partially offset by the decline in South Korea's operating income. South Korea's challenges are continuing in 2008 consistence with our comments earlier this year. The results in the quarter were impacted again by increased corn and ocean freights along with a reduction in volume. Pricing actions were not enough to offset these factors. However, excluding the South Korean shortfall, the divisions operating income was up a very strong 88%. The final chart for the quarter is chart nine, is the estimated source of changes in the diluted earnings per share for the quarter. Changes from operations are the driver for the record quarter, margin improvement accounted for about $0.17 or 71% of the $0.24 change followed by foreign currency values at $0.05 or 21%. Non-operating changes amounted to 2%... $0.02 primarily related to lower financing costs. Moving to the six-months results or chart 10, net sales are up 21% to $1.96 billion from last year's $1.62 billion. Gross profit increased 19% to $360 million or an improvement of $58 million. Gross profit margins are 18.4% versus 18.6% a year ago. Operating expenses increased 15% or $18 million due primarily to higher variable performance compensation and stronger foreign currencies impacting the translation. Included in this year's operating expenses were 4 million of costs relating to the pending Bunge merger. Operating income rose a strong 25% or $45 million to $223 million. We saw a 37% reduction in net financing costs or $9 million in the first half driven primarily by the $6 million decline in the second quarter. We expect net financing costs to continue to moderate year-over-year as we move through the second half of 2008. Finally, net income and diluted earnings per share are up 32% and 33% respectively to $133 million and $1.75 for the first half of 2008. Chart 11 is the cash flow for the quarter ended June 30. Cash provided by operations improved substantially to $117 million from $9 million last year. The increase primarily reflects a positive swing in working capital of $99 million. This is primarily due to cash received from margin accounts relating to Corn future contracts and also to improve collection of accounts receivable which more than offset an increase in inventories due primarily to higher raw material costs. An increase in net income of $17 million also was a contributor to the improvement. Investments in the business of $52 million was up from $36 million last year, we have raised our capital spending estimates from $200 million to between $200 million and $250 million. The reduction in cash provided by the financing activities relates to the issuance of our $300 million of new debt in April of 2007. $255 million of short-term debt was repaid in July 2007. The company did not repurchase any common stock during the quarter. The last financial chart number 12 presents the key metrics for the quarter ended June 30. Debt-to-capitalization remains very strong at 27.7% versus 26.6% at year-end 2007 and 35.4% last year, which reflected our debt-issuance activity. Debt-to-EBITDA is a very healthy 1.2 times. Operating working capital as a percent of sales increased to 15.2% from 11.3% last year reflecting higher receivables and inventories. Net debt or total debt less cash stood at $344 million at June 30 compared with $497 million a year ago and $474 million at year-end. The debt-to-cap is 22.7% versus 26.6% at year-end 2007. The company continues to have a very strong balance sheet with excellent cash flow generation. In summary, we are very pleased with the record results and performance we have turned in for the second quarter and first half of 2008. The next chart number 13 is 2008's outlook. Given our record second quarter and very strong first half, we have again raised our 2008 full year diluted earnings per share guidance this time to $3.15 to $3.35 from $2.90 to $3.15 versus last year's EPS of $2.59, which included a $0.05 gain from our share in the CME Group. This would be an increase to 22% to 29%. We expect a solid second half in the range of $1.40 to $1.60 versus $1.27 last year. This would be an increase of between 10% to 26%. As mentioned on our first quarter call, our first half results should be stronger than our second half performance as we anticipate higher raw material costs, including the higher carrying cost of our North American corn hedges. We expect to comfortably exceed our minimum Return on Capital Employed of 8.5% or as we call it, ROCE. For the second straight year and we expect to exceed net sales of $4 billion. Thanks for your attention and I will now turn the call over to Sam.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thanks Cheryl and good morning to all. This is the first time we've had a chance to speak to you directly since the June 23rd announcement of our planned merger between Bunge Limited and Corn Products International. Before moving to your questions, I would like to quickly review the compelling rationale for this exciting combination between the two companies. I'm now on chart 14, the Bunge and Corn Products combination. Our pending merger with Bunge, a company that was [ph] long admired is an outstanding opportunity to create value for our shareholders, enhance career and development opportunities for our employees across the world and to provide benefits such as new products and services to our global customers and partners. Together, we should have a strengthened presence in North America and South America. We should be able to utilize each other's operations to expand to new geographies and grow more rapidly and efficiently in countries where we already operate. For example, Bunge should gain from our large presence in Mexico and other parts of South America as well positioned our operation... as well as our positions and operations in Asia. At Corn Products, we will have an excellent to opportunity to expand in India using Bunge's footprint and sell products in Western and Eastern Europe where we have no presence. Both companies stand to benefit collectively in China. By combining Bunge with Corn Products... By combining with Bunge, Corn Products will become a key operating subsidiary of a much larger public company with a greater scope, breadth and financial resources. We believe that Bunge is the optimum fit and ideal partner for our company in today's rapidly changing agribusiness and processing environment. Corn Products should also be able to accelerate our objectives to excel at and expand our base corn-refining business, which we are currently doing in our CapEx program and to grow more quickly and effectively around the world. We believe our shareholders will have an ongoing equity interest in a combined company well-positioned to serve customers around the world with a broad product portfolio, integrated distribution network and innovative products. In addition to being highly complementary to Bunge's business commercially, operationally and geographically, Corn Products fits into Bunge's strategy to add higher value products in starches, sweeteners and other ingredients to its portfolio, establish an integrated global presence and a complementary corn value chain it desires, and to add future agribusiness diversification and vertical integration. In short, while Corn Products has been and is continuing to grow, the merger with Bunge gives our company many new opportunities some in the short-term and others in the longer term to strengthen and extend our leading global corn wet milling network. The more we examine the commercial, geographic and operational opportunities from this combination, the more excited we are to get on with making them happen to create an even greater value for our shareholders, our customers and our employees. We see compelling and significant synergies arising from this merger including savings in areas such as procurement, logistics, supply chain, elimination of duplicate cost as well. We believe there will be over time additional commercial benefits as well. Finally, an important element of the success of any merger is the cultural fit. It is clear to us that Bunge and Corn Products share a common culture around core values and strong ethics, a rich and successful heritage in agribusiness and processing industries and talented, experienced and a dedicated workforce. We are working hard to move the merger and integration process forward as quickly as we can and we still estimate that this transaction should close in the fourth quarter of 2008. In closing, this may be our last call with you assuming our transaction is completed on schedule. If so, I want to take this opportunity to thank you all for your interest and support in Corn Products over the last ten plus years. It has been a good run and we are now ready to move on with the next phase of our company's life. Thank you again and now we'd be more than happy to take your questions. Question and Answer
Operator: Thank you. Ladies and gentlemen, [Operator Instructions]. We will take our first question now from Ann Gurkin of Davenport & Company.
Ann Gurkin - Davenport & Company: Good morning.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Hi, Ann.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Good morning, Ann.
Ann Gurkin - Davenport & Company: I have enjoyed working with you all too and I wish everybody the best.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you very much.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Thank you.
Ann Gurkin - Davenport & Company: Just a couple of questions. You've always made the statement that as long as utilization remains tight in the US for sweeteners, you are able to pass through higher corn prices. Are you still standing behind that statement right now or do you feel like the market is still tight, utilization still high?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: We think it's high enough Ann, so that we can pass through corn. I think we said that at the end of the third quarter with Corn where it was then and we still feel that's the case.
Ann Gurkin - Davenport & Company: Okay. And then, we've seen corn come back dramatically to the $6 or maybe even lower level right now. I have been curious to hear your view on that move, more positive than negative.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Yes. It certainly is more positive than negative. We were not happy with corn at $8 when it touched on $8. We are much happier with it at $6, we would be even happier with it at $4. But I don't think we will see that, this is a reaction. The market... the corn crops seems to be progressing very, very favorably right now and you've seen all the commodities have come back a little bit. So it's probably a pretty good sign and it will also help the volumes we talked about with the shortfall before.
Ann Gurkin - Davenport & Company: Right. That's great. Thank you.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Welcome.
Operator: And we'll go now to Christine McGlone of Deutsche Bank.
Christina McGlone - Deutsche Bank North America: Good morning.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Good morning.
Christina McGlone - Deutsche Bank North America: Sam, if you think about, I guess following on Ann's question, corn prices have fallen, sugar prices are high, so that is a much better situation for you in terms of pricing in the fall. But, if we still see demand elasticity and maybe a shift in consumer preferences next year and volume continues to be weak, where could CPO redirect its clients, if needed?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Well, I guess two things, Christina. Certainly, if we see prices come down, we expect to see volumes improve somewhat. There were a number of different things that we said impacted our volume this year one of which was weather in North America and we certainly believe that was a major play. We have seen volumes start to pick up as we've gotten into the summer monsoon. We've seen more reasonable weather conditions, not perfectly very good. We also talked to issues as it relates to problems we've had around the world with respect to volume. One in Argentina where we were in fact shutdown because of the strike and we could not really produce product nor that our customers accept products. So the volume shortfalls there are explainable. And in Asia/Africa, we saw right along about the introduction of GMO corn and in Korea particularly with that in case, we have seen a combination of bad introduction as well as some of the issues with the beef acceptance in Korea and It's been a major play over there for a while. It is going to take some period of time for that to be settled out, but there have been some specific reasons as to why the volumes are off and superimpose on that the very strong currencies around the world where we nor our customers could export products which had been part of our business over time and that combination is what's impacted. As we see corn come down, I expect to see some of that change and I don't expect the recurrence of all of those issues again next year. So we think we have a pretty good environment we're going into.
Christina McGlone - Deutsche Bank North America: And, when you said volume is picking up in the summer, is that year-over-year or sequentially?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Both.
Christina McGlone - Deutsche Bank North America: Okay. And then can you, Cheryl, can you elaborate on the increasing CapEx, where is it going?
Cheryl K. Beebe - Vice President and Chief Financial Officer: It's distributed between the North American and South American operations. We see very good opportunities in South America, Brazil. It also includes the news enlightened high-intensity sweeteners spending and we're seeing opportunities in polyols and starches in the North American market.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: And Mexico in particular.
Christina McGlone - Deutsche Bank North America: Okay. And then last question Sam, it seems like the sugar market is changing dramatically, you had United States sugar selling assets and acreage through the state of Florida. What do you think that means for a kind of a longer-term outlook for sugar prices and therefore, sweetener prices?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Well, if it plays out as you stated and as it looks, it obviously means sugar prices are going to be higher. We have seen sugar in the US increase fairly dramatically over the last six months. It's at levels that are very positive for our business. We have seen world sugar creep up. As you said earlier it slipped back a little bit as a result of sympathy to the entire commodity market, but it is significantly higher than it was before. We're seeing sugar prices in Mexico come up since the beginning of the year as well and I think the fundamentals as a result of what happened in Georgia earlier this year with the burning of one of the sugar mills added... represented between 8% and 10% of the capacity in the US. Add to that which you just mentioned in Florida which is going to be over a period of time but it's certainly psychologically impacting it. I think we're going to see higher sugar and sweetener prices going forward as a result of that.
Christina McGlone - Deutsche Bank North America: Okay. Thank you.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Welcome.
Operator: And we will go now to Heather Jones of BB&T Capital Markets.
Heather Jones - BB&T Capital Markets: Good morning.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Hi, Heather.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Good morning, Heather.
Heather Jones - BB&T Capital Markets: Hi, I just want to say, I have enjoyed working with all of you and definitely will miss you.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you. We will miss you too, Heather.
Heather Jones - BB&T Capital Markets: Thank you. I had a quick question on Asia/Africa. The results were better than I had anticipated. I was just wondering did South Korea performed better than you had anticipated or were results out of China, and Pakistan just significantly better?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: I think a little bit of all of the above, Heather. I mean, we said South Korea should bottom out this year, and we have done a lot of work to do some things over there. So, we saw some improvement and what we expected to see not significant but better than we thought and we also saw the other countries in the region performing well... as well. So although the numbers were not as good as they have been historically, they were certainly better than I think you expected and a little bit better than we expected. We knew we were working on it, we knew we were doing things to fix it but incrementally it is coming along.
Heather Jones - BB&T Capital Markets: Okay and what are you seeing as far as China clamping down on Corn Products [inaudible] spectator?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Starting to take place it's not fully in place yet but we certainly have seen some benefits from it in other parts of our world, yes.
Heather Jones - BB&T Capital Markets: Okay. And I have a question on the merger and this may be premature, so if it is... I understand but since the merger was announced, Bunge stock is down fairly dramatically, and I think based on its closure today the exchange ratio will imply a takeout of somewhere between 50 and 51 for corn products.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Sure.
Heather Jones - BB&T Capital Markets: Is that... is my math right?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Yes, it is.
Heather Jones - BB&T Capital Markets: Okay. Is there at some point at which you would make the decision that the takeout price is just not as compiling as you would've liked and potentially terminate the merger and again this may be a very sensitive question to ask so, I just thought I should ask it?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Well, it is a very sensitive question and I am not going to answer it, Heather. I hope you understand that. Certainly we're very very much positive on this merger, and we expect that it will continue to go through as planned, but your numbers are correct as to what you said, but certainly we believe this is the right thing for our company as I know the Bunge people do and Alberto does. We feel it is, it will be received well by the shareholder community as we go forward and that's... we're going to pursue it with bigger.
Heather Jones - BB&T Capital Markets: Okay. And then my final question, I got on the call a little late, so you may have already showed us so I apologize here to repeat yourself. But did you all benefit at all from weaker than expected bases in North America on your corn costs?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Not really. We had booked some of our bases out front for the second quarter. It might have been a slight bit weaker than we originally thought but not really to speak of, no.
Heather Jones - BB&T Capital Markets: Okay. All right.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: But we had good price product mix which was the big impact in fact for the quarter, Heather.
Heather Jones - BB&T Capital Markets: Right. Okay. All right. Well, thank you very much
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you so much.
Cheryl K. Beebe - Vice President and Chief Financial Officer: You're welcome.
Operator: [Operator Instructions]. We will go now to Ken Zaslow of BMO Capital Markets.
Kenneth Zaslow - BMO Capital Markets: Hi. Good morning everyone.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Good morning, Ken.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Hi, how are you doing?
Kenneth Zaslow - BMO Capital Markets: We, as well, wish you guys very well in the future.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Thank you.
Kenneth Zaslow - BMO Capital Markets: How long are you going to stay with the merger? How does that work?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Well, I will stay through the merger and work with Alberto for a while after that. But since my retirement is pending and I am ready for it now, it will probably be until he says, okay, it is time to move on and I think that a company can only have one CEO and he is a great one. So I am looking forward to helping him. As you know I will be joining his Board of Directors. So I'll be a semi-free consultant to him as he needs it and we will spend some time working together on the merger after that as well.
Kenneth Zaslow - BMO Capital Markets: Great. In terms of the guidance improvement, obviously you've raised guidance and I know what the change is the second half is behind you but... the first half is behind you, but what has created more upside to your numbers than what you expected?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: We saw better than expected co-products we're rolling in. We had pricing that is very solid going across the board and as I said we started to see some small degree of volume improvement of what we saw in the first and second quarter. So all of that combined with some efficiencies in running the business. So we've been tightening the screws on our cost even in a pretty good environment. So all of that combined has given us an opportunity to look at our numbers and bring the guidance up.
Kenneth Zaslow - BMO Capital Markets: Has your view on Asia changed in terms of, do you expect it to be as poor as it was, I mean, this is the first quarter in five quarters that you actually had a year-over-year increase, was that contributing to the improvement in your guidance because you didn't really mention your outlook by a division this time?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: No it's not. I mean the numbers in Asia are small enough so that they would not really have any impact on the guidance at all. It's the other divisions and Asia performing , I mean Asia did not perform negatively. So we didn't have a negative impact on that one which could have hurt us but certainly we believe that North and South America are going to be driving factors behind the change and Cheryl was going to add something to your question before.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: I was going to say, Ken, in addition to the comments about the better co-products and cost efficiencies, we are also seeing the benefit from the stronger foreign currencies in South America, the Real and Columbian peso.
Cheryl K. Beebe - Vice President and Chief Financial Officer: And those impacts the currency, as we've said historically impact those negatively on the volume side possibly on the currency translation and we were seeing those going forward.
Kenneth Zaslow - BMO Capital Markets: It is almost like a little bit of a hedge versus Bunge's operations, do they do worse when they... with the Real going the way that it's gone. Right, is that fair?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Yes, there are a lot of hedges between our operations and Bunge's operations and hence the decision to make... part one of the reasons for making the merger.
Kenneth Zaslow - BMO Capital Markets: Sam, you said I think last and we touched a little bit on these comments, while if corn was about $6 or around $6 you're going to offset, is that on the spot of the future, how do I think about it?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Ken, there was a beep and I missed part of your question, could you repeat that, I'm sorry?
Kenneth Zaslow - BMO Capital Markets: You said, I think, last quarter if corn moves around $6 [inaudible] plus your other products would be able to offset the $6 corn. Is that based on a $6 spot market and expecting it on the future's curves of $6 to $7 or would that be that the future's curve would have to be up to $6, which way would you think of it? Does that make a difference, when you said...?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: At the time I said it I was talking about $6 future's curve because I think that's where we were at the first quarter call. Certainly, in today's environment I think it would be applicable at a higher level even than that because sugar has moved up but I mean certainly we are talking about the $6 to $7 range on the futures curve that we can pass it through in this environment.
Kenneth Zaslow - BMO Capital Markets: So you would expect to be able to grow earnings into '09, is that fair?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: What I'm saying is that there is room to be able to grow those earnings, yes.
Kenneth Zaslow - BMO Capital Markets: And my last question is, if you didn't do the deal, where do you think your stock price would be right now?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: I don't even think about guessing on something like that, Ken. You could tell me better than I could tell you.
Kenneth Zaslow - BMO Capital Markets: Yes, I would say it will be higher.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Well, you might be right. I think most of the ad company businesses are not. So I wouldn't speculate where we would be.
Kenneth Zaslow - BMO Capital Markets: Great. I appreciate it. Take care, guys.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you, Ken.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Bye, Ken.
Operator: [Operator Instructions]. And we will go now to David Driscoll from Citi.
David Driscoll - Citigroup: Yes, David Driscoll. Good morning, everyone.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Hi, Dave how are you doing?
David Driscoll - Citigroup: That was interesting, apparently someone else is on the line too. Sam, Cheryl, it's certainly been a great pleasure working with you over the years and definitely good luck if we don't have the chance to have another call again.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you.
Cheryl K. Beebe - Vice President and Chief Financial Officer: Thank you.
David Driscoll - Citigroup: Sam, in the past, there does seem to have been an upper limit on the magnitude of a price increase on a one-year basis, you and I have had these conversations for years on what was possible and I'm just curious to understand your thought process given the current corn situation and the dynamics of the market today, do you think if there is an upper bound on the price increase that the customers in North America can accept.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: David, I think there is an impact depending upon price and I guess what I mean by that is that the prices get so high and we've already seen some volume. Are you there?
David Driscoll - Citigroup: Yes.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Okay. There was some noise in the background. We have seen and part of the shortfall in volume now is the reaction in the marketplace in the economic environment that we're living in at the moment. So I think if prices get too high we will definitely see pushback on volume either from the customers but more importantly from the consumer. However, as long as sugar keeps moving and there are no substitutes, people are going to have to use the product. So and the marketplace has gotten more accustomed to higher prices, nobody likes them but we do acclimate very quickly to changes in price and volume environments and we have seen that happen. So, I can't answer how high it can go, because it depends upon where sugar is but sugar certainly has moved over the last six months in sympathy to commodities as well as tightening in the marketplace. On the industrial side, the same thing is applicable, I guess the issue is that the economy is growing, we can sell starch, paper and corrugating in textile. If it's not, we're probably not going to sell as much starch but we can pass the price through because they don't have an alternative and we don't either. We have to use corn as our raw material. So it's a long answer to the question but I think it's an environment where we can get it through, it could have impacts on volume depending upon how high it goes.
David Driscoll - Citigroup: As regards to the US sugar price, and you mentioned that fire in the Georgia refining facility, this seems to be a temporary impact to the market that can be overcome by importation of sugar from the world market. Would you see that as a likely event or not?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: It hasn't materialized as a major play yet and certainly if in fact it were to happen for the world market, it would tighten it up because you know the world market is not that large as far as an overall marketplace itself goes. Also, we would expect to see some sugar roll in from Mexico if in fact there were a shortfall here, which would improve the product, the pricing of sugar in the Mexican environment. But certainly, what we've seen, David and you are right that refinery can and probably will be repaired. I don't know if it will be repaired in kind or in the same volume but certainly through what was projected to be an 18-month to two-year period of time to bring it back onstream and it happened in mid February, you are looking at a relatively tight environment this year, next year and then the impact of what Christina talked about in Florida should start taking hold at that point in time. That along with the growth in the demand for sugar worldwide and sugar going to ethanol worldwide should, no guarantees, which should provide an environment where sugar prices are a bit higher going forward.
David Driscoll - Citigroup: With corn prices at current levels, would you agree that a 25% price increase in high-fructose corn syrup is required in '09 to just simply maintain profit in your North American business? Give or take, it doesn't have to be exact on the percentage, I'm just looking for an order of magnitude here.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Reasonable increase and some of that is going to be dependent upon the co-products credits but certainly it's going to be a substantial increase in pricing, yes.
David Driscoll - Citigroup: So, my ballpark of 25% is not complete... I mean you would... that's in the realm of what you see as reasonable, yes?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: I don't want to put a number on it David, I don't mean to [inaudible] put around it but I think it's going to be a substantial increase as I said that has to be there to get a $6 or $7 corn price through.
David Driscoll - Citigroup: Well, then flat out, let me just get to my final part here. In '09, I think my number one concern is the fact that you did such a great job in hedging your '08 business back in the contracting period that it represents a big headwind in terms of co-product values in '09. Can you just comment on that and is it realistic, you mentioned to one of the other questioners that you did see earnings growth in '09. But I'm curious if it's realistic to expect kind of a long-term guidance 10% to 12% in '09 given what would appear to be a substantial headwind on co-products?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: David, I'm not going to comment on '09 projections now, I think you know that. What I will say is that I think there is room for us to be able to improve our margins in '09. We have to operate the business well, not our margins, our earnings, our operating income and net income in '09. The business has to be operated well. We have a very, very solid team in North America that knows how to manage through this and is doing a good job doing it right now. As I said to the community a while back, we have moved many longer term operations... longer time contracts. We had moved more grain-related contracts. In addition to that, we are growing our CapEx, we are growing some of the businesses around the world, and we've done that in anticipation of this. We've put capital dollars into cost reduction programs, with energy prices and supplies as high as they are, we can get substantial returns out of some of those projects that perhaps three years ago were not valid investments on our part. So we're working on all elements of what it is that's affecting our business and without giving any kind of guidance '09 is in front of us. And we think we can manage through this environment as well.
David Driscoll - Citigroup: But you would agree that co-products are a headwind.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: That depends. Certainly with where they are right now I think, if they stay where they are today, we would have basically the same kind of credits that we have had this year. And what we have said is we thought we could pass the corn through. So if those two things apply, then no, they are not a headwind. If in fact corn would have dropped from $6 or $7 to $3 and co-products reduce themselves in the same fashion then yes, but I don't think anyone out there is projecting corn is going to stay, go much lower than it is or perhaps even stay where it is right now but I can't guess that one either. So certainly if in fact we see it reduce itself, but remember if it reduces itself we have much cheaper corn going forward. So as I said we have the right people managing this thing and as you look forward, one of the other issue is with our net merger. We're merging with a player that is one of the best out there and being able to recognize these kinds of issues going forward. So the combination of our expertise and Bunge's will help us run through this environment pretty well.
David Driscoll - Citigroup: Great. Thanks a lot for all the questions... all the answers to the questions.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: I appreciate it.
Operator: Now we will go to Mr. Johny Gong [ph], a private investor.
Unidentified Analyst: My question has been answered. Thanks.
Operator: [Operator Instructions]. We will go now to Christina McGlone from Deutsche Bank for a follow-up question.
Christina McGlone - Deutsche Bank North America: Thanks for taking the follow-up. I think in the K, you say normally you would hedge corn in the fall but sometimes you opportunistically hedge it earlier. Is that still viable, can you hedge a lot of your corn needs now, you think it needs to get into another acreage battle in the fall when we see corn coming up again?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: We have an anticipatory hedge program, Christina that we've always talked about and that allows the organization to hedge when it sees it is appropriate to hedge. On a small piece of our forward business, what we have always said is we back-to-back our hedges with contracting. So that, the reason for the later-in-the-year scenario is that's when contracting generally takes place. So most of our corn is bought in the fourth quarter nominally and perhaps even late in the fourth quarter as we go forward with it but the anticipatory hedge allows for us to do a piece of our corn buying when we think it's appropriate to buy it.
Christina McGlone - Deutsche Bank North America: Okay. So it's a smaller piece of majority as done in the fourth quarter?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Correct. And the... remember we have also said a lot is grain-related and that we either buy at the direction of the customer or the customer buys it and sends the corn contract to us.
Christina McGlone - Deutsche Bank North America: Okay. Thank you.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: But that could be at any time. The customer decides they want to buy it in January, they can do it for next year, if they really want to go forward. That's their call, but the corn that we buy, most of it is bought during the contracting season, we have a small piece, it is anticipatory hedge.
Christina McGlone - Deutsche Bank North America: Okay. Thanks Sam.
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Okay. Thank you.
Operator: [Operator Instructions].
David Prichard - Vice President of Investor Relations: Operator, are there are any other questions?
Operator: We do have a follow-up question from David Driscoll of Citi.
David Driscoll - Citigroup: Well, thanks for taking the follow-up. So the question Sam is, a little bit more detail on the synergies between Corn Products and Bunge. I certainly understand that it is also a question that I will direct to them but from your state [ph] you gave some comments on it in your prepared script but I would say that I am still somewhat unclear as to what the single biggest area of the $100 to $120 million of expected synergies. Can you kind of focus this in a little bit more on where that... the biggest chunk of that number should come from?
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Yes, that we think the supply chain side of it is going to be the major impact in fact, that is one of the areas as we have talked historically about it selling at the base business and growing it. This merger provides us great opportunities to be able to take cost out of supply chain. And Bunge is a... an ag operator, they have very strong logistics, they ship... I was going to say corn, they ship grain all over the world. If you think about the amount of grain that we ship from here to Mexico and Bunge ships a substantial amount of product into Mexico, the cost reduction should be solid. We shipped by ocean freight, corn to Colombia and Korea again the same thing as they have ships moving back and forth for those occasions. They have grain buying expertise that we don't... we think we are pretty good, but they're much much larger than we are and it doesn't take many pennies to be substantial as far as the overall operations go. We see definitely synergies in the areas in which we operate together whereby we think that we can be much more effective in how we run the businesses in small areas. There are certainly areas that Bunge has expressed a desire to get into where we have very strong businesses like Mexico, Colombia, Korea. Pakistan, all four areas that Bunge is interested in moving businesses to. The infrastructure is there, in some instances, we can just take it on right away. Conversely, there are areas that we are interested in moving into at the moment we've talked about them in places like India being able to ship product as we go upscale on our higher valued ingredients into Europe and eastern and western Europe. And both of us look very favorably at putting something together in China. So there are a lot of opportunities on the cost side that we see. Obviously we're going to take the overhead out of meat. I'll be gone, all of our corporate expenses up to the secretary board level are going away. That's a very easy fix, we do see opportunities on taxes, where we can get some substantial savings out of it. So those are the primary areas what I have not talked about are opportunities for commercial growth with the customer, modern improvement perhaps in their business as a result of our expertise in dealing with customers and supplying customers. We think there are opportunities there as well. So as we looked at it, we think we were conservative, very conservative in the numbers we put together for synergies but those are the primary areas we identified to be able to bring some monies to the bottom line.
David Driscoll - Citigroup: Really appreciate the color. Thanks everyone
Samuel C. Scott, III - Chairman, President and Chief Executive Officer: Thank you.
David Prichard - Vice President of Investor Relations: Operator, are there any other questions?
Operator: We have no further questions.
David Prichard - Vice President of Investor Relations: Okay. With that then it appears since there are no further questions we will conclude our conference call and webcast today. I do want to remind you that a replay of this webcast can be accessed at www.cornproducts.com and there is a replay of the audio conference call that will be available through Tuesday, August 5 and the phone number is 719-457-0820 and you'll need passcode 3415218. And with that, we thank you for participating in our call this morning. On behalf of Sam and Cheryl, have a good day. Thank you very much.
Operator: This does conclude today's conference. We thank you for joining us today and hope that you have a lovely rest of your day.